Operator: Very good morning, ladies and gentlemen. Thank you all for joining, and welcome to the Quarter Four 2017 Albemarle Corporation Earnings Conference call. My name is Lisa, and I'll be your coordinator for today. Today's conference is being recorded. I'd now like to turn the conference over to Mr. Eric Norris, Chief Strategy Officer, for opening remarks. Please proceed.
Eric W. Norris - Albemarle Corp.: Thank you, Lisa, and welcome to Albemarle's fourth quarter 2017 earnings conference call. Our earnings were released after the close of the market yesterday. And you'll find our press release earnings presentation and non-GAAP reconciliations posted on our website under the Investors section at www.albermarle.com. Joining me on the call today are Luke Kissam, Chairman and Chief Executive Officer; Scott Tozier, Chief Financial Officer; Raphael Crawford, President, Bromine Specialties; Silvio Ghyoot, President, Catalyst; and John Mitchell, President, Lithium. As a reminder, some of the statements made during this call about the future reforms of the company may constitute forward-looking statements within the meaning of federal security laws. Please note the cautionary language about forward-looking statements contained in our press release that same language applies to this call. Also note that our comments today regarding our financial results include non-operating, non-recurring and other unusual items. GAAP financial measures and reconciliation from those to the adjusted numbers discussed today may be found in our press release and the appendix of our earnings presentation, both of which are posted on our website. Now, I'll turn the call over to Luke.
Luke C. Kissam - Albemarle Corp.: Thanks, Eric. I look forward to having you on the team. I also want to thank Matt Juneau for his many years of dedicated service to Albemarle and wish him all the best in retirement. Turning to the numbers. The fourth quarter of 2017 capped off the year, in which Albemarle continued to deliver on our long-term strategy of growing revenue and EBITDA, generating cash, actively managing our portfolio and investing in lithium. 2017 adjusted EBITDA from our three GBUs increased by $160 million or 19% compared to 2016. Lithium again delivered strong double-digit adjusted EBITDA growth of 56%, and Bromine adjusted EBITDA increased by 14%. Our adjusted diluted earnings per share grew by 29% compared to 2016. Strong segment cash flows coupled with the sale of the Chemetall Surface Treatment business late in 2016 enabled a significant deleveraging of our balance sheet while still affording us the opportunity to repurchase $250 million of stock and increase our dividend for the 23rd year in a row. Just last week, our board approved the dividend increase for 2008, extending that streak of increasing the dividend to 24 years in a row. At the end of 2017, our net-debt-to-EBITDA ratio stood at 0.9 times. During the fourth quarter, we announced that we entered into a contract to sell our polyolefin catalysts and components business to W.R. Grace for $416 million. This transaction should close in the next few months and will provide additional financial flexibility to support our growth strategies. Our capital spending in 2017 totaled $318 million with the lion's share deployed in our Lithium business. We made substantial progress on our Wave One projects, and they are all on track. In addition, the Lithium business successfully integrated the Jiangxi Jiangli China asset acquisition and commercialized our La Negra 2 battery grade production line in Chile. In summary, throughout 2017, we put ourselves in a very strong position to capitalize on the potential and competitive advantages of our Lithium business. As we look to the future, our plan to realize this potential is coming together. We are seeing a significant acceleration of demand and expectations for EV penetrations now range up to the high-teens percentage of light vehicle sales by 2025. Our own view of 2025 EV penetration has risen to 12%. That would result in a global lithium market of over 800,000 metric tons, representing a CAGR of about 18% for the 2017-2025 period. We are already seeing this growth reflected in the volume requirements of our customers. In fact, our Wave One capacity additions, which will bring total capacity to 165,000 metric tons, are essentially committed through 2021. As a consequence, we are now at the point where it is critical for us to accelerate our investment in additional capacity ways to meet the needs of our customers, while continuing to deliver value to our shareholders. With respect to our Wave One expansion plans, we remain on schedule and currently expect capital spending to be over $1 billion between now and 2021, with about half of that spend in 2018 alone. Projects in this wave include La Negra 3, a 40,000-metric ton carbonate expansion in Chile; Xinyu 2, a 20,000-metric ton hydroxide expansion in China; and a greenfield conversion plant in Western Australia. The first phase of this greenfield site will initially have 40,000 metric tons of conversion capacities, so we will build an infrastructure that is scalable for significant expansion. To address what would otherwise be an oversold position after 2021, we are now accelerating our Wave 2 plan, which will deliver approximately another 100,000 metric tons on an LCE basis early in the next decade. We have already commenced Wave 2 spending on clearly-identified projects that include the yield enhancement technology in the Atacama, coupled with a further conversion expansion in Chile and additional capacity at the Western Australia greenfield site that I just described in order to leverage the growth in hard rock capacity in that region. Finally, we are also in the very early stages of assessing Wave 3 opportunities, which are largely new resources including Kings Mountain, North Carolina; Antofalla, Argentina; and other prospective opportunities in our pipeline. These capital waves collectively imply a significant multi-year deployment of our free cash flow towards growth in Lithium, while maintaining the flexible, investment-grade balance sheet and enabling consistent growth in our dividend. Absent any corporate actions such as M&A or stock buybacks, we would expect to end 2018 at a net-debt-to-EBITDA ratio of around 0.9 times, essentially flat compared to the end of 2017. We are confident in our ability to execute this multi-year capital expansion and preserve the strength and flexibility of our balance sheet. Before I turn the call over to Scott, I want to stress three important points related to this capital deployment. First, we will only build out capacity to meet long-term commitments from our customers. We're not going to be in the business of speculating on demand that might materialize. Second, we have the flexibility to adjust the size and timing of future increments, giving us the ability to modulate the pace of expansion so that some change in demand materialize with our customers. Finally, we have the ability to produce both carbonate and hydroxide. Both markets today are growing strongly. But to the extent to which one outpaces the other, we will be able to adjust to meet that demand. Now, I'll turn the call over to Scott.
Scott A. Tozier - Albemarle Corp.: Thanks, Luke. We ended 2017 with strong performance and great momentum going into 2018. Let me give you some of these details. We reported adjusted earnings per share of $1.34 for the fourth quarter, an increase of $0.56 per share or 72% compared to fourth quarter 2016. All of our businesses performed well, providing about $0.50 of that growth. For the full year 2017, we reported adjusted earnings per share of $4.59, an increase of $1.02 or 29%. Growth in Lithium and Bromine accounted for all of that growth. Diluted GAAP earnings for 2017 were $0.49 per share, the largest adjustment to get to adjusted EPS was $3.20 taken during the fourth quarter for discrete tax items related to U.S. tax reform. Debt restructuring cost and acquisition and integration cost were the next largest contributors, totaling $0.54. During the fourth quarter of 2017, as a result of U.S. tax reform, we reported a provisional income tax expense of $429 million for the transition tax and an income tax benefit of $62 million for the reduced U.S. federal corporate tax rate on our existing deferred tax balances, netting to a charge of $367 million. The transition tax will be paid out over eight years. Our effective tax rate, excluding special items, non-operating pension and OPEB items, ended 2017 at 18.8%. Operating and working capital, which was a use of cash in 2017 compared to 2016, improved to about 24% of sales at the end of the fourth quarter compared to 28% at the end of the third quarter of 2017. Several factors were at work. Net payables increased as capital spending continue to ramp up to support Lithium growth, and working capital related to polyolefin catalysts and components was reduced when this business was reclassified to assets held for sale. Capital expenditures ended 2017 at $318 million, ramping up from $197 million in 2016 reflecting growth capital deployment in our Lithium business. Before I report on our business unit performance, I'd like to remind you that, effective at the beginning of 2018, management of the PCS business was moved from Lithium and Advanced Materials into the Catalyst GBU along with Refining Solutions. I would also like to note that the divestiture of a portion of the PCS division, our polyolefin catalysts and components businesses, is treated as an asset held for sale and therefore will still be part of our reported earnings results through the closing date. And now, to the business results. Lithium and Advanced Materials ended the year with sales of $1.3 billion and adjusted EBITDA of $519 million, increasing by 35% and 43%, respectively, compared to 2016. Lithium full year sales increased by 52% and adjusted EBITDA increased by 56%, with adjusted EBITDA margins of 44%. Volume growth for 2017 was an impressive 24%, with prices improving by 28%, driven by the increasing demand from our contracted customers and the lithium price reset that started in 2016. The fourth quarter adjusted EBITDA margins of 41% marks three full years of consecutive quarters with margins above our guidance of 40%. Discussions with our key accounts to lengthen contract terms continue through year-end 2017, as the market gears up for long-term demand growth linked to EV launch plans and concerns over securing reliable, high-quality supply. PCS ended the year with annual sales of $289 million and adjusted EBITDA of $72 million, down mid-single digits from 2016. In Bromine, full year sales of $855 million and adjusted EBITDA of $259 million were up by 8% and 14%, respectively, compared to 2016. Full year adjusted EBITDA margin was 30%, 164 basis points above 2016. The market for flame retardants, especially in electronics and construction, remains healthy, reflecting the stronger local consumer trends during 2017. The demand for clear brine fluids, which are used for deepwater offshore oil well completions, was about flat compared to 2016. Higher selling prices across certain products resulted from production shortages particularly out of China. Refining Solutions reported a strong fourth quarter with net sales of $238 million and adjusted EBITDA of $69 million, resulting in an EBITDA margin of 29%. Full year Refining Solutions sales of $778 million increased by 6% compared to 2016. Adjusted EBITDA was $212 million, down 11%. Hurricane Harvey contributed 5 percentage points of that decline. During 2017, higher sales volumes in hydroprocessing catalysts, or HPC catalysts, were driven by good demand compared to the prior year. Higher sales to the traditionally lower margin heavy resid segment, higher input costs and higher logistics costs resulted in lower adjusted EBITDA for HPC than we saw in 2016. 2017 sales volumes for Fluid Catalytic Cracking, or FCC catalysts, were up with relatively flat pricing across customers and products compared to 2016. Adjusted EBITDA for FCC was negatively impacted by Hurricane Harvey, as well as the timing of customer trials in our max propylene product line during the first half of 2017. These headwinds were partially offset by strength in FCC volumes in North America, where lower margin BTO (16:12) products are more prominent. Now, I'll now turn to 2018. First, I'll frame the impact of tax reform on earnings, capital spending on our free cash flow and key elements of our balance sheet. Then, I'll turn the call back to Luke to cover the business and our overall company forecast for revenue and earnings growth. While there is certainly long-term benefits to the recently enacted U.S. tax reform, we expect our effective tax rates to increase in 2018 as compared to 2017. There are several components at work. First, our operations in Chile will bear higher income and mining tax rates going forward. Second, we expect our projected geographic revenue mix to be slightly biased toward higher tax rate jurisdictions than in 2017. And finally, based on our current understanding, we anticipate the U.S. tax reform to push our domestic rates slightly higher. As a result of these factors, we currently expect our effective tax rate, excluding special items, non-operating and pension and OPEB items to be approximately 23% to 24% in 2018. As Luke earlier described, market demand and customer commitments have resulted in an acceleration of future capital waves to ensure Albemarle meets long-term customer commitments. In total, you can expect capital spending of $800 million to $900 million in 2018, resulting in breakeven to negative free cash flow generation, once all other factors are accounted for. Net cash from operations is expected to exceed the $304 million of 2017, ranging between $660 million and $730 million in 2018. In addition to earnings growth, the increase in net cash from operations is expected to benefit from improved working capital and lower cash taxes. Finally, estimating the risk of foreign exchange movements is always challenging and seems even more so in the current global environment. Our 2018 guidance is based on rates close to today's FX rates, an average U.S. dollar to euro exchange rate of $1.23 and an average Japanese yen to U.S. dollar exchange rate of ¥109. Now, I'll turn the call back over to Luke.
Luke C. Kissam - Albemarle Corp.: Hey. Thanks a lot, Scott. Assuming the economy doesn't suffer a slowdown in 2018 and based upon the current exchange rates, we expect net sales in the range of $3.2 billion to $3.4 billion and adjusted EBITDA of between $955 million to just over $1 billion, a pro forma growth rate of 11% to 17% compared to 2017. This growth would result in adjusted diluted earnings per share between $5 and $5.40. This assumes a March 31, 2018, closing date on the sale of the polyolefin catalysts and components business. We currently expect the cadence of earnings to be slightly lower in the first half of the year versus the second half. Note that the normal fluctuation in our businesses, such as a large HPC order moving from one quarter to another can have a significant impact on quarterly results. Turning to each of our businesses. With over 1.2 million vehicles sold worldwide, global sales of plug-in hybrids and battery electric vehicles in 2017 increased by 58% compared to 2016 with pure electric vehicles growing faster than plug-in hybrids. A similar growth rate is expected again in 2018. Based on the strong demand from our lithium customers, we expect lithium earnings to increase greater than 20% and adjusted EBITDA margins to average greater than 40% in 2018. We continue to see favorable pricing trends with overall pricing in lithium expected to increase by high-single digits on a percentage basis relative to last year. Our volumes are fully committed for 2018 and are forecasted to grow at least 10,000 metric tons, driven by growth in battery grade applications. Nice growth is also expected in catalysts, which now includes Refining Solutions and the Performance Catalyst Solutions business. Despite anticipated cost inflation in refinery catalysts, adjusted EBITDA is anticipated to increase by the mid to high-single digits on a percentage basis compared to 2017. Fluid Cracking Catalysts are forecast to benefit from strong demand, high utilization rate and improved product mix with increased sales of our max propylene product line. We also expect a similar trend in Clean Fuel Technology during 2018 with the product mix more skewed towards some of our higher value products. Though less pronounced than in 2017, we currently forecast a somewhat stronger half of the year in Catalyst. But as always, timing of change outs in the refineries could impact actual results. After a solid year in Bromine in 2017, we expect 2018 performance to be about flat compared to last year. Though we do expect modest growth in flame retardants, these gains are expected to be offset by higher cost for raw materials, freight and distribution. As is the case with Lithium, in 2018, our volumes in certain of our Bromine derivatives are fully committed. In closing, our strategy is unfolding as we planned. We exceeded our operational and financial commitments in 2017. Lithium continues to deliver exceptional growth. Our Wave 1 projects are on track, and we're accelerating our Wave 2 and Wave 3 projects to meet the increasing demand from our existing customers. In addition, the steady cash generation in both Bromine Specialties and Catalyst, combined with our strong balance sheet, gives us the ability to generate growth that will deliver superior value for our customers and our shareholders. I have never been more excited about the opportunity that we see in front of us.
Eric W. Norris - Albemarle Corp.: Operator, we are ready to open the lines for Q&A. But before you do so, I would remind everyone to please limit your questions to two per person at one time so that everyone has a chance and feel free to get back in the queue for follow-ups. Please proceed, Lisa, with the queue.
Operator: Certainly. Thank you. Ladies and gentlemen, we'll now conduct the question-and-answer session. Okay. Your first question is from the line of Bob Koort of Goldman Sachs. Please go ahead.
Dylan Campbell - Goldman Sachs & Co. LLC: Hi. This is Dylan Campbell on for Bob. Good morning. Thanks for the question. On the BEV and PHEV penetration rates last year during an Investor Day, you noted 2.3% and 2.7%, respectively, of your revised outlook. How is your current estimate compared during this 2021 year?
John Mitchell - Albemarle Corp.: Yeah. Hi, Campbell. This is John. It's a great question. The way we were building up our models right now is really by model – by specific model. And so, we're really looking at the battery systems in each of the models that are announced. And as we look at 2017, after 2025, we see the battery side increasing about 40%. So, there is a combination of technologies, as you know, that's coming out of the market. There has been a few hundred different models announced just in the last, say, six months. So, rather than giving you a split of plug-in hybrid versus battery electric, you really need to break it down model-by-model. But what I can tell you is that, from 2017 through 2025, the kilowatt hours per vehicle escalating in our model is about 40%.
Dylan Campbell - Goldman Sachs & Co. LLC: Okay. Thank you. And then, you mentioned kind of EBITDA margins I mean, greater than 40%, which is helpful for 2018. But can you help us understand directionally whether you expect margins to be above or below 2017 levels or kind of any puts and takes that we should be thinking about with the year-over-year bridge for Lithium?
Scott A. Tozier - Albemarle Corp.: Yeah. This is Scott. So, we're expecting that we'll be above 40%. Don't expect that we'd break 45%. So, again, we'll be in the lower part of that 40%. That range is what our expectation is right now.
Dylan Campbell - Goldman Sachs & Co. LLC: Thank you.
Operator: Thank you for your question. Our next question is from the line of Arun Viswanathan of RBC Capital Markets. Please go ahead.
Daniel DiCicco - RBC Capital Markets LLC: Hi. This is Dan DiCicco on for Arun. Thank you for taking my question. If I could just kind of go back to that first one and maybe ask it another way like your penetration target for 2025, I mean, if I'm correct, that now assumes 70,000 tons of average annual demand growth. And then, your previous forecast to 2021 was for 35,000 tons of average annual demand growth. So, has that accelerated at all, or has that number changed?
Scott A. Tozier - Albemarle Corp.: Yeah. That's a great question. And your math is right. So, back – during the Investor Day, our models were looking at incremental LCE growth over the next five years at about 35,000 metric tons per year and our new demand model suggest it's about 70,000 metric tons per year over the next five years on average. And so, it's an accelerating curve. It's an accelerating growth curve. And that's really driven by a multitude of factors. The biggest one is really just all the new model announcements by the OEMs. I also want to just mention that from a grid storage perspective, we have almost – we have very little, almost none, no incremental demand on the grid storage side in our model right now. So, it's being driven by the electrification, the transportation system.
Luke C. Kissam - Albemarle Corp.: Yeah. And this is Luke. If I could just add a little clarifying comment on that. Remember, we had said that we expected it, on average, to increase by about 35,000 metric tons from 2017 to 2021. And we'd always said that it would be lower in the early years, so that in the out years it would be higher. And I think at the Investor Day we said within those outer years, we'd expect it to be closer to 50,000. Now, what we're saying is, if you look at the average – the penetration rate by 2025, it would be 12% and that – you will continue on that curve. You ought not look at it as a straight line, but it will have a bell curve going out. So, consistent with what we said in our Investor Day last year, but in accelerated penetration, thereby, driving accelerated demand for our customers. Hope that helps.
Daniel DiCicco - RBC Capital Markets LLC: Great. Thank you. And just as a follow-up. With you guys accelerating your Wave 2 and Wave 3 investments, does that mean we can expect volumes from these projects sooner? And could that potentially have a negative impact on prices down the road?
Scott A. Tozier - Albemarle Corp.: Yeah. We've not accelerated – we never said that Wave 2 or Wave 3 will be coming in before 2021, and you should not expect it. That is a post-2021 type volume that would come online. And as always, we're going to marginalize it to bring it online to meet the demand of our customers. We're going to build it in 20,000 net ton increments and we will be able to speed it and slow it based upon the demand that we see with our customers, so I don't see having any impact at all on price.
Daniel DiCicco - RBC Capital Markets LLC: Great. Very helpful. Thank you.
Operator: Thank you for your question. Our next question is from the line of P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar - Citigroup Global Markets, Inc.: Yes. Hi. Good morning.
Luke C. Kissam - Albemarle Corp.: Good morning.
P.J. Juvekar - Citigroup Global Markets, Inc.: So, you expect EV penetration to reach 12% by 2025. What is the cadence of that? Is that front-end loaded? And that's your forecast in demand from automakers. And between you and automakers or the battery guys, is there a choke point in the battery? I mean, is the battery capacity keeping up with the forecast that you have?
John Mitchell - Albemarle Corp.: Yeah. P.J., this is John. We don't see any indication that there's going to be a choke point in the supply chain to be able to meet the 12% by 2025 right now. And from a Lithium supply and demand perspective, when you look at the product that we sell to our end customers, we feel that that supply and demand is going to remain in balance at least through the 2021 period.
P.J. Juvekar - Citigroup Global Markets, Inc.: Okay. And my second question is on Bromine. Can you talk about the Chinese leased parts? Was that related to environmental shutdowns and their starting back up? There was also the water level that rose in China that diluted a lot of production. So, what is going on with these restarts? And can you just give us a little bit more detail on this?
Raphael Crawford - Albemarle Corp.: Sure, P.J. This is Raphael. So, we did see – as you've referenced, there were shutdowns mainly in the third quarter of last year that went into the fourth quarter. So, overall, Chinese production was down in the second half of last year. It was actually down about 10% from a total year-over-year basis. Some of the plants that were shut down for Bromine and actually some of the downstream plants from Bromine production have restarted. Most are expected to come back up by the end of March. But that being said, we're watching it closely. We don't know if there's further environmental action that will be taken in China. We do know that overall rates of production in China for bromine, just bromine quality, the quality of the brine concentration has gone down. So, we're in a little bit of a wait-and-see mode as to what transpires over the year. We have benefited from increased prices for most of our derivative products because of the shortage in bromine supply.
P.J. Juvekar - Citigroup Global Markets, Inc.: So, this is more on the BFR side and not elemental bromine side? I just want to clarify.
Raphael Crawford - Albemarle Corp.: Yeah. It's both. It's both on the elemental bromine side and the downstream on the flame retardants as well. So, there's been less elemental bromine production as well as downstream production as a result of the shutdowns. There's also, P.J., been less downstream production because the price of bromine has been higher than historical level. So, the economics of producing those downstream derivatives competitively in China has shifted. So, it's both the environmental shutdown effect as well as the effect of just overall higher prices. And what that does for the competitiveness of Chinese products. But, overall, P.J., for the Bromine business, we watch that closely. In the background we're always working on our own competitiveness with productivity and efficiency to our plants. So, as it moves up and down, we want to stay competitive in our global markets.
P.J. Juvekar - Citigroup Global Markets, Inc.: Okay. Thank you.
Operator: Thank you for your question. Our next question is from the line of Aleksey Yefremov of Nomura Instinet. Please go ahead.
Aleksey Yefremov - Nomura Instinet: Good morning, everyone. Thank you. Could you discuss your price expectations for lithium for 2018? And then, also if you could offer any view of 2019-2020 price change.
John Mitchell - Albemarle Corp.: Yeah. Sure. This is John. So, for 2018, I think it's – in the prepared comments, we said that we expect high-single digit pricing for 2018. And longer term, it was also mentioned previously, we don't see a negative impact on price and I'll tell you why. At least, from an Albemarle perspective, we are focused on long-term partnerships, long-term supply agreement. And what the customers are buying from us, reliability and supply, the ability to grow with them to meet market demand, the quality assurance that they can put our product into a battery system that's going to last 10-plus years and also the ability to continue to evolve the molecule into a performance-based product that's going to give them a competitive advantage that their battery is going to actually have a better performance than someone else's. So, when you look at all those characteristics, I mean, we are really bullish in terms of making sure that we're getting a fair value that we're supporting our customers for the significant growth that they have ahead of them. So, that's kind of how I would look at the long term.
Aleksey Yefremov - Nomura Instinet: Thank you. And then, as a follow-up. I'm just trying to understand the magnitude of CapEx in 2018. If I look at overall Albemarle CapEx, it's rising about $500 million in 2018. If I look on slide 14, Wave One entirely would cost around $500 million. So, maybe what percent of that 2018 Lithium CapEx is dedicated to Wave One versus Wave 2, Wave 3? And also, did you see any escalation in your CapEx costs and your expected manufacturing cost here?
John Mitchell - Albemarle Corp.: So, the way you should read slide 14 is that the $450 million to $550 million is specific to Wave One build-out, which – our Wave One build out is an incremental additional 100,000 metric tons. It gets us to 165,000 metric tons on an LCE basis. The $100 million to $125 million, that's CapEx dedicated to the development of Wave 2 and Wave 3 capacity, both on the mining side and also on the refining side.
Aleksey Yefremov - Nomura Instinet: Okay. Thank you.
Operator: Thank you for your question. Our next question is from the line of David Begleiter of Deutsche Bank. Please go ahead.
David I. Begleiter - Deutsche Bank Securities, Inc.: Hey. Good morning. Luke and John, on the 10,000 tons of volume increase in 2018, will that all come from La Negra? And if it does, is that – will that plant be fully sold out or fully up running?
John Mitchell - Albemarle Corp.: So, this is John. David, the incremental 10,000 metric tons and that's a minimum, that's we're hoping for. A big portion of that is going to be Chile-based, but there also could be some other volumes out of Asia, China and Australia as well.
David I. Begleiter - Deutsche Bank Securities, Inc.: And in terms of...
John Mitchell - Albemarle Corp.: Go ahead.
David I. Begleiter - Deutsche Bank Securities, Inc.: Okay. Go ahead. I'm sorry.
John Mitchell - Albemarle Corp.: And I'm just going to say, in terms of your second question around will La Negra be sold out when we reached the peak capacity, there's still some additional room in La Negra. So, we will not be at full capacity, but we're still ramping up to full capacity by the end of 2018.
David I. Begleiter - Deutsche Bank Securities, Inc.: Very good. And maybe – and, Scott, for you, just on CapEx, in 2019 and 2020, should we think about a similar CapEx number as we're seeing for 2018?
Scott A. Tozier - Albemarle Corp.: That's our expectation. It may vary up or down slightly from that. But that's kind of the range that we're expecting right now. And as I look at the implications on the company, while we're expecting flat to slightly negative free cash flow this year, we expect with earnings growth in other initiatives that we'd go free cash flow positive in that timeframe as well, again, contributing to that flexibility of our balance sheet to take more strategic actions.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thank you for your question. Our next question is from the line of Kevin McCarthy of Vertical Research Partners. Please go ahead.
Kevin W. McCarthy - Vertical Research Partners LLC: Yes. Good morning. With regard to your price forecast of a high-single digit contribution in 2018, would you comment on where your weighted average contract price levels finished last year? Just wondering how much of that price uplift is from roll-through effects on existing contracts versus prospective market movements in pricing.
Luke C. Kissam - Albemarle Corp.: Well, you can assume that a lot of that or the majority of that price movement is based on our long-term agreements because a lot of the volume that we have on the sulfate is more than 80% of our volume is based on long-term agreements. So, I think a good assumption is that a majority of the pricing that we're getting is embedded in our long-term agreements or a part of our long-term agreements with customers. I think that's probably all I can say about pricing.
Kevin W. McCarthy - Vertical Research Partners LLC: Okay. And then, Luke, I think you made a comment that your lithium supply is fully committed through 2021. Please correct me if I'm wrong about that. But I just wondered if you could comment on what that aggregate volume commitment is and in kilotons?
Luke C. Kissam - Albemarle Corp.: Well, I mean, if you look at it, what we said is we'll bring online. We expect to be at 165,000 metric tons on an LCE basis by 2021. And so, as we build that out, we might not run at 165,000 in 2021 because we'll be ramping up and we're bringing the last project online in 2021. But we're expanding this capital and spending this capital to meet customer orders. So, you should have anticipation when we bring it online. We're essentially going to be sold out when we bring it online. We could place it.
Kevin W. McCarthy - Vertical Research Partners LLC: Okay. Thank you very much.
Operator: Thanks for your question. Our next question is from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thank you very much. I just want to clarify what you said earlier which was that you saw the market in balance through 2021. Did you mean to say that you – that it might not be in balance thereafter? And I also heard your comments that you don't see any negative impact to you from price. So, I just wondered if you could just clarify those things to make sure that we all understand what you mean.
Luke C. Kissam - Albemarle Corp.: Yeah. Vincent, the question was did we have – how do we look at it through 2021, and we said we'd think it will be in balance through 2021. So, if you look out, we did not mean to imply that there will be an oversupply or an undersupply after 2021. So, please don't read that into it. Again, from our perspective, our long-term agreements allow us to bring this volume online and have the confidence that we're going to be able to place that volume under our existing contracts. So, when we look at it, we believe that the market is going to remain tight. And if you look – and that's what the supply chain is saying. If you look at what our customers are willing to do, they have entered into long-term agreements and talking about even longer term agreements. So, the – our customers want the comfort of that reliable supply. If you've read the articles in the press about the automobile makers and the OEMs trying to go directly to grab lithium, that tells you the automakers believe that the market is going to be tight, and they want the security in supply that they need to be able to bring their electric vehicles online. So, what the supply chain is telling us, what the customers are telling us and what we believe is that this market is going to remain tight for the foreseeable future.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thank you for that clarification. Just as a follow-up, what is your view on, sort of, the supply side of the equation? Not just over the next few years, it may be going out to 2025 to match up with your EV and lithium demand forecast.
Luke C. Kissam - Albemarle Corp.: Yeah. There's a whole host of gas out there about who's going to bring on supply and who's not going to bring on supply. I think that, if you look what has happened since we bought this business in 2015, there's been a steady delay of projects. Projects have been delayed. Projects have come on at a higher cost, and projects have also come in at a lower volume. So, I think, when we look again at the supply side, we believe that this business will stay in balance for the extended period of time. And also, I think if you look again, when I point to what the OEMs are doing, you point to what the supply chain tells us with those long-term agreements, they believe that those will be out in relative supply. I'd also point out that, from our standpoint, we're going to be able to modulated and we can bring this capacity online in 20,000 metric ton increments and we'll be able to speed up or slow it down to meet the needs of our customers.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thank you very much. I really appreciate it.
Luke C. Kissam - Albemarle Corp.: You bet.
Operator: Thank you for your question. Our next question is from the line of Mike Harrison, Seaport Global Securities. Please go ahead.
Michael Joseph Harrison - Seaport Global Securities LLC: Hi. Good morning. Just kind of following up on your last comment there about your ability to modulate the lithium capacity addition. Can you maybe just give a little bit more color? I mean, obviously, a lot of these projects are two to three years or more in the making. How much of the increased spending here is being dedicated toward giving you guys the more optionality in terms of the size of the timing of these projects so that you can be more responsive to the customer requirements?
Luke C. Kissam - Albemarle Corp.: So, I would say, on Wave One, very low with the exception of Pemberton. And let me give you an example. If you, the permits that we've applied for Pemberton are for 100,000 metric tons of capacity, but we're going to bring in only 20,000 incremental tons. We're not going to build a 100,000 met ton plant. We're going to be – we're going to build five 20,000 met tons plant. So, on the initial infrastructure, we'll build an infrastructure for 100,000 metric tons, and then we'll build 20,000 operating plants. And I'm sorry, I said Pemberton. But Pemberton is in Western Australia. So, that – we believe that will give us the module, the format, everything we need to then just pop out the 20,000 met tons on a more rapid basis than if we were trying to build a 100,000 met ton plant at one time. John?
John Mitchell - Albemarle Corp.: Thanks, Luke. A couple of points to keep in mind when we talk about supply. You have to look at supply as what is the end customer really looking to purchase. And it's a performance product. It has a quality standard that can actually withstand the 10-year warranty in an automobile and that molecules are different and they have different specification. And so, from a supply perspective, we are entering into long-term discussions today for capacity that's coming online post 2021. We need commitments today for that capacity that's going to be coming on the. And that's why we have a level of comfort that, as we bring capacity online, it's going to be sold. And together, with our customers, we're the leading battery producers in the world. We're going to ensure that they have the right materials in the right place and the right form so that they can grow and meet the demand of their customers, the OEMs.
Michael Joseph Harrison - Seaport Global Securities LLC: You also mentioned wanting to maintain some optionality around whether you would be producing carbonate or hydroxide for some of those longer-term customer needs. Is that a situation where the customers just aren't exactly sure what type of technology they're going to be using by that time? Or is it more an issue of not knowing maybe which particular customers are going to be growing faster or slower over that timeframe?
John Mitchell - Albemarle Corp.: So, the battery makers are working with OEMs on different model announcements. Those models tend to survive a five-year cycle. So, they know the battery chemistry that's going to go into the models and they – and it's sustained at least over a couple year period. Over the long term, I'm talking decade or more, there could be chemistry changes that change the product. But as we work with our customers in long-term planning, which is going to be necessary for all of us, if they have to change chemistry in the battery, they need to work with us so that we can modify our operations to provide them the tailored molecules they need so that their battery can meet the performance spec of the OEM. So, this is why – I mean, this is a fairly complex supply chain and it's a mistake to oversimplify the supply dynamics in the market.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. Thanks very much.
Operator: Thanks for your question. Our next question is from the line of Dmitry Silversteyn of Longbow Research. Please go ahead.
Dmitry Silversteyn - Longbow Research LLC: Good morning, guys. Thanks for taking my question. Since the lithium market seems to be beat to death here, let me do my typical question on bromine. You've had pretty good price realization there in 2017. And we sort of know that the Chinese reduction in capacity and the strong demand from flame retardants is behind that. Is there any chance of that reversing in 2018? You talked about Chinese capacity perhaps coming back online by the end of March? And – or conversely, if pricing environment is still expected to be good, can it help you offset some of the higher input costs you were referring to and perhaps provide a little bit of an upside to your flattish EBITDA guidance for 2018?
Raphael Crawford - Albemarle Corp.: Dmitry, this is Raphael. I think that – I think you've characterized it well. We'll be watching the back half of the year to see what pricing does and what volume does in China. It's possible that it slips from where it is today. That being said, in 2017 going into 2018, we have been able to lock in large pieces of our volume at higher prices for the duration of 2018. So, those price increases we would expect to carry through the year and offset the higher raw material costs, higher freight costs that we're expecting to see throughout the year. We're hopeful for the second half of the year, but we're not counting on it that that higher average pricing in China would maintain. We'll see what happens after we enter the summer with how strong production comes back in China, what that does to global pricing. As I mentioned, when P.J. asked the question, we're sort of always looking for how we can manage our business from an efficiency standpoint to maintain our earnings quality of this business. So, we're preparing ourselves for a decrease in pricing, but hoping to offset that with higher operating performance.
Dmitry Silversteyn - Longbow Research LLC: Got it. Okay. Thank you. And then, my second question would – switching to your Catalyst business. You mentioned that in the heavy oil resid market or in the HPC part of the business, whatever, you're looking for a little bit of a better mix in results in 2018 versus 2017. Now, my understanding is the bottom of the barrel kind of the heavy oil resid, which was a nicely growing business for you, was a lower mix business. So, the fact that you expect mix to improve in 2018, does that mean that you're going to be slowing down in the growth of heavy oil resid or maintaining it and something else growing faster that's higher margin and therefore a better mix contribution for you?
Silvio Ghyoot - Albemarle Corp.: Again. Good morning. This is Silvio. I did hear a lot of questions. First of all, let me be positive. The growth of the resid or the user conversion of resid globally, whether it's through FCC or through HPC, keeps on growing. It's just a matter of getting more out of the barrel. And on an average resid oil amongst all the crude is somewhat cheaper. So, everybody is looking for processing that material. Taking it from the HPC angle and the mix of products from the distillates to the VGOs (50:55) to resids, you'll see a growing amount of resid that needs to be treated for the simple reason that more resid is being processed and being dug up. And the same is valid for the FCC, the conversion of the bigger amount of resid plays well to our portfolio. So, we're still trying – we're still focusing on making petrochemicals primarily starting from resid feet up.
Luke C. Kissam - Albemarle Corp.: But – hey, Dmitry. This is Luke. I think there is also the fact that we've got some specialty catalysts that we'll be selling this year. And as you know, from time to time in the past, on HPC, when we have a good – a good volume of those specialty catalysts which are higher value, we get a bump. And that's what we're expecting in 2018 on that specific issue in HPC. Okay?
Dmitry Silversteyn - Longbow Research LLC: Got it. Okay. So, it's not a question of slowing down Resid sales, it's a question of just the timing of some of your higher-value specialty product sales.
Luke C. Kissam - Albemarle Corp.: That's the way to look at it. So, think about last year. We didn't have that higher sales. This year, we've got some of that higher value catalyst in the sales for the 2018 slate.
Dmitry Silversteyn - Longbow Research LLC: Got it, Luke. Thank you very much.
Luke C. Kissam - Albemarle Corp.: You bet.
Operator: Thanks for your question. Our next question is from the line of Mike Sison of KeyBanc. Please go ahead.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Hey, guys. Nice end of 2017. When you think about your forecast through 2025 and kind of the thought that demand and supply would remain balanced, how much of that supply will come from you and the majors and how much supply will need to come from China, junior miners and such?
John Mitchell - Albemarle Corp.: So, this is John – I always like to try to put my feet – myself in the seat of our customer, and I think when they're building our capacity for the future, they're making commitments to the OEMs. I think they want to rely on a substantial company that has the financial wherewithal, the technical wherewithal, the operating wherewithal to be able to supply them. So, personally, I think that the major producers are going to play a significant role in the market. Not to say that other capacity won't come online, but I think that if I'm sitting in a battery company, I want to rely on those companies that have the capability, skill sets and financial strength to be able to grow with me and provide me the right molecule at the right time.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Right. Thanks. And then, Luke, when you think about getting the capacity up and running by 2021 for Lithium, can you maybe give us a feel for where you think EBITDA would be at that point? Would it double from current levels? Would it more than double? Just kind of curious what the long-term earnings potential of the first wave will be.
Luke C. Kissam - Albemarle Corp.: Yeah. I mean, I think if you just look at where we are today and look at our 40% margin and you roll that out somewhere with the volume we have – 40%-plus margin and you roll that out 165,000 metric tons, that's where I would think it would be at least 2 times at a minimum.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Right. Thank you.
Operator: Thanks for your question. Our next question is from the line of Colin Rusch of Oppenheimer. Please go ahead.
Colin Rusch - Oppenheimer & Co. Inc.: Thanks so much. Can you guys talk a little bit about the customer mix for these longer-term commitments from a geographic perspective, as well as how many of them are from auto OEMs versus battery OEMs?
John Mitchell - Albemarle Corp.: Hi. This is John. The basket of customers that we have are really in the cathode and the battery space. Since most of the cathode and the batteries are produced in Asia, you can expect that most of them are Asian-based. China, Japan, Korea make up the center and the heart of the battery – the global battery industry right now. Over time, we see that diversifying into the Americas and into Europe, but that's the current basket. And you can also make the assumption that these are the leading names in the space. These are the ones that the OEMs are really going to rely on to advance the technology and be able to supply their new model launches.
Colin Rusch - Oppenheimer & Co. Inc.: Okay. Great. And then are you seeing any initial activity from this recent ruling in the German high courts to allow cities to ban diesel vehicles. Stuttgart and Dusseldorf are now able to ban diesel vehicles and we think that potentially ends up accelerating some PHEV and EV demand and production in Europe. Are you seeing any response from the customer base at this point from that decision?
John Mitchell - Albemarle Corp.: I mean, we're seeing all over the world, mayors of cities, governors of states or provinces and countries take more aggressive steps to electrify the transportation system and shift over to renewable energy. And the rationale there is one of attacking urban pollution and the health crisis that many of the cities have, attacking climate change and energy independence. And those macro themes still resonate heavily, and you see a lot of momentum across the world in different world leaders and city leaders and state leaders taking actions. So, it's not just those stories, it's happening everywhere.
Colin Rusch - Oppenheimer & Co. Inc.: Great. Thanks so much.
Operator: Thank you for your question. Our next question is from the line of Joel Jackson of BMO Capital Markets. Please go ahead.
Robin Fiedler - BMO Capital Markets (Canada): Hi. This is Robin on for Joel. When do you guys expect to receive the increased extraction quotas from Corfo? Is there a risk to this considering the upcoming government change? Thanks.
John Mitchell - Albemarle Corp.: Hi. This is John. We have a great relationship with the Corfo and the Chilean government. These negotiations and getting all the documents in order and following the process they have just takes some time, highly optimistic that we're going to come through with the additional quota. It just makes too much sense for the State of Chile. We are not pumping any more natural resource out of the ground. We're just using a technology to be able to improve the yield and generate additional value for the State of Chile and for the community. And so, I mean this is a no-brainer, really. It just takes a little bit of time for us to get the papers in line. So, hopefully, we'll be back here shortly with some good news there.
Robin Fiedler - BMO Capital Markets (Canada): Okay. Thanks. And just lastly, just on Wave 3 expansion, is there a priority between Kings Mountain and Antofalla?
John Mitchell - Albemarle Corp.: Yeah. We're still assessing that, and the priority will be when you look quantitatively at the resource and the returns that we get and, when you look qualitatively, the ease of getting there. So, it's a combination but we haven't finished that assessment yet.
Robin Fiedler - BMO Capital Markets (Canada): Okay. Great. Thank you, guys.
Operator: Thank you for your question. Our next question is from the line of John Roberts of UBS. Please go ahead.
John Roberts - UBS Securities LLC: Thanks. Luke, you have a target of 50% of the industry growth in lithium. Do you think that's still the right way to characterize your growth target? Do you need to be more flexible depending on competitor plans? Or do you think it's more important so the competitors know exactly where you're going, so you signal to them exactly what you're going to do?
Luke C. Kissam - Albemarle Corp.: Yeah. I think that we laid out as a target so we could have the growth back whenever we were looking at a much lower growth expectation through now through 2021. Our goal is to be the most profitable lithium business in the world. So, we're not going to chase volume. We're not going to chase volume at the expense of value for the company and the shareholders just so we can say we got 50% of the growth. We want to make sure that everybody understands that we have the balance sheet to be able to meet the demands of our customers, and we're going to do it in a way that drives the valuation of the company for all of our stakeholders. So, there's no magic number out there other than to be the most profitable lithium company in the world.
John Roberts - UBS Securities LLC: Okay. And then, does the acceleration in CapEx increase the likelihood of another asset sale like you just did with Catalyst?
Luke C. Kissam - Albemarle Corp.: If you look at our balance sheet, we don't have the need to do that. But we certainly have the flexibility to do it. Should that, we're always looking at our portfolio to understand how we can drive shareholder value. So, if we think we can divest something to drive shareholder value, we'll do it. But we have no need to do it in the short, medium or long term to be able to achieve our objectives, okay?
John Roberts - UBS Securities LLC: Thank you.
Operator: Okay. Thank you for your question. That's all we have time for ladies and gentlemen, I will now hand it back to Mr. Eric Norris for closing remarks. Thank you.
Eric W. Norris - Albemarle Corp.: I just want to thank everyone for their interest in Albemarle today. I'm sorry we've hit the top of the hour. We look forward to follow-ups and further discussions throughout the balance of the quarter. Thank you. And, Lisa, we can now end the call.
Operator: Thank you. Ladies and gentlemen, that concludes today's conference call. You may now disconnect your lines. Have a great day. Thank you.